Operator:
George Sharp:
Alan Mulally:
Robert Shanks:
Alan Mulally:
George Sharp:
Operator: 
Brian Johnson – Barclays Capital:
Robert Shanks:
Operator:
John Murphy – Bank of America Merrill Lynch:
Robert Shanks:
John Murphy – Bank of America Merrill Lynch:
Alan Mulally:
Operator:
George Sharp: Yes. Your next question comes from the line of Patrick Archambault with Goldman Sachs. Please proceed.
Operator: Yes. Your next question comes from the line of Patrick Archambault with Goldman Sachs. Please proceed.
Patrick Archambault – Goldman Sachs & Co.:
Robert Shanks:
Operator:
Emmanuel Rosner - CLSA:
Robert Shanks:
Operator:
Chris Ceraso - Credit Suisse:
Robert Shanks:
Chris Ceraso - Credit Suisse:
Robert Shanks:
Operator:
Ryan Brinkman – JPMorgan:
Robert Shanks:
Ryan Brinkman – JPMorgan:
Stephen Odell:
Ryan Brinkman – JPMorgan:
Robert Shanks:
Operator:
Adam Jonas – Morgan Stanley:
Alan Mulally:
Adam Jonas – Morgan Stanley:
Alan Mulally:
Adam Jonas – Morgan Stanley:
Stephen Odell:
Adam Jonas – Morgan Stanley:
Stephen Odell:
Operator:
Rod Lache - Deutsche Bank:
Alan Mulally:
Stephen Odell:
Rod Lache - Deutsche Bank:
Robert Shanks:
Rod Lache - Deutsche Bank:
Robert Shanks:
Operator:
Mike Ramsey – Wall Street Journal:
Robert Shanks:
Mike Ramsey – Wall Street Journal:
Robert Shanks:
Operator:
Craig Trudell – Bloomberg News:
Robert Shanks:
Craig Trudell – Bloomberg News:
Robert Shanks:
Alan Mulally:
Operator:
Karl Henkel – Detroit News:
Robert Shanks:
Operator:
Veronique Dupont - AFP:
Alan Mulally:
Operator:
George Sharp:
Operator:
Veronique Dupont – AFP:
Alan Mulally:
Operator:
Colin Langan – UBS:
Robert Shanks:
Colin Langan – UBS:
Robert Shanks:
Alan Mulally:
Colin Langan – UBS:
Robert Shanks:
Colin Langan – UBS:
Robert Shanks:
Operator:
Itay Michaeli – Citigroup:
Robert Shanks:
Itay Michaeli – Citigroup:
Robert Shanks:
Itay Michaeli – Citigroup:
Robert Shanks:
Itay Michaeli – Citigroup:
Robert Shanks:
George Sharp:
Operator: Ladies and gentlemen that concludes today's conference. Thank you for your participation, you may now disconnect. Have a great day.